Operator: Good morning. My name is Clea [ph], and I will be your conference operator today. At this time, I would like to welcome everyone to the Q2 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there would be a question-and-answer session. [Operator Instructions]. Thank you. I would now like to turn the call over to our host, Peter Henrici. Please go ahead.
Peter Henrici: Thank you, Clea. Good morning, and welcome to Vishay Intertechnology’s Second Quarter 2015 Conference Call. With me today are Dr. Gerald Paul, Vishay’s President and Chief Executive Officer; and Lori Lipcaman, our Executive Vice President and Chief Financial Officer. As usual, we’ll start today’s call with the CFO who will review our second quarter financial results. Dr. Gerald Paul will then give an overview of our business and discuss operational performance as well as segment results in more detail. Finally, we’ll reserve time for question and answers. This call is being webcast from the Investor Relations section of our website at ir.vishay.com. The replay for this call will be publicly available for approximately 30 days. You should be aware that in today’s conference call we will be making certain forward-looking statements that discuss future events and performance. These statements are subject to risks and uncertainties that could cause actual results to differ from the forward-looking statements. For a discussion of factors that could cause results to differ, please see today’s press release and Vishay’s Form 10-K and Form 10-Q filings with the Securities and Exchange Commission. In addition, during this call, we may refer to adjusted or other financial measures that are not prepared according to Generally Accepted Accounting Principles. We use non-GAAP measures, because we believe they provide useful information about the operating performance of our businesses and should be considered by investors in conjunction with GAAP measures that we also provide. This morning, we filed a Form 8-K that outlines the various variables that impact the diluted earnings per share computation. On the Investor Relations section of our website, you can find a presentation of the second quarter 2015 financial information containing some of the operational metrics Dr. Paul will be discussing. Now, I turn the discussion over to Chief Financial Officer, Lori Lipcaman.
Lori Lipcaman: Thank you, Peter. Good morning, everyone. I am sure that most of you have had a chance to review our earnings press release. I will focus on some highlights and key metrics. Vishay reported revenues for Q2 of $590 million, below the range of our guidance. GAAP EPS for the quarter was $0.17. Adjusted EPS was $0.20 for the quarter. The second quarter includes pretax charges of $5.7 million related to our cost reduction programs. Yesterday we announced global cost reduction programs intended to lower cost by approximately $35 million annually when fully implemented. During the second quarter, we began the process of terminating and settling our U.S. Qualified Pension plan. All planned participants will have their benefits either converted into a lump sum cash payment on annuity contract placed with an insurance carrier. The completion of this process is contingent on receipt of a favorable determination letter from the IRS and in certain IRS and PDGC requirements which is expected to take at least one year. The primary purpose of this transaction is to reduce interest rate and investment risk associated with the plan that will offset results and some cost savings. There are no significant accounting consequences until final settlement occurs. Revenues in the quarter were $590 down by 0.5% from previous quarter and down by 8.0% compared to prior year. Gross margin was 24.0%. Operating margin was 7.50%. Adjusted operating margin was 8.4%. EBITDA was $89 million or 15.1%. Adjusted EBITDA was $95 million or 16.0%. Reconciling versus prior quarter, adjusted operating income quarter two 2015 compared to adjusted operating income for prior quarter, based on $3 million lower sales or $1 million higher exchange rate impacts. Adjusted operating income increased by $1 million to $50 million in quarter two 2015, from $49 million in Q1 2015. The main elements were: average selling prices had a negative impact of $8 million, representing a 1.3% ASP decline; volume increased for the positive impact of $6 million; fixed costs decreased with a positive impact of $4 million; primarily due to a realignment of incentive compensation accruals and the non-repetition of severance costs. Versus prior year, adjusted operating income quarter two 2015 compared to prior year based on $51 million lower sales or $10 million lower excluding exchange rate impacts, adjusted operating income decreased by $17 million. The main elements were, average selling prices had a negative impact of $18 million representing a 3.0% ASP decline; volume increased with the positive impact of $4 million, primarily due to acquisitions which increased the top-line by $12 million. Variable costs decreased with a positive impact of $4 million primarily due to cost reduction efforts, efficiencies, lower metal and material prices, which more than offset the increase of labor costs. Fixed costs increased with a negative impact of $8 million, $6 million coming from the acquisition. Although significant individual line items, exchange rates had only $1 million favorable net impact on the adjusted operating income versus prior year. Selling, general and administrative expenses for the quarter were $92 million. This includes a positive impact from the realignment of incentive compensation accruals and the non-repetition of severance costs. For the remaining two quarters of 2015, our expectations are approximately $94 million of SG&A expenses assuming the current Euro exchange rate. I’d like to give you an overview of our cost reduction program. Yesterday we announced global cost reduction programs intended to lower cost by approximately $35 million annually when fully implemented at a cash cost of approximately $30 million. These programs include a plan to reduce SG&A by $17 million to be implemented by the end of 2016. We also plan to streamline and consolidate production of certain product lines within our capacitors and resistors and inductors segments, which we expect to reduce costs of products sold by approximately $18 million annually, split 50-50 between variable and fixed costs. These production transfers will be completed in steps by the end of 2017. Some of these projects have already started and we recorded $4.7 million of restructuring costs in Q2 related to these programs. Our previously announced cost reduction programs continue to be on track. We’re recording an additional $0.9 million of restructuring expenses in Q2 2015 related to our MOSFETs enhanced competitiveness program. As discussed previously, this program will be implemented in steps through Q1 2016 with a long-implementation primarily due to automotive qualification complexities. Meaningful cost savings are not expected until the program is nearly completed, but are expected to be approximately $23 million per year when fully implemented. Restructuring charges are recognized ratably during the implementation period. We expect both our GAAP and normalized tax rate for 2015 to be approximately 31%. The year-to-date GAAP and normalized tax rates are both approximately 31%, a slight increase versus the rate used in Q1 mathematically resulted in a Q2 2015 normalized rate of 31.8% due to the required cumulative catch-up. This expected tax rate is based on an assumed level and mix of income among our various taxing jurisdictions. A shift in income could result in significantly different results. Total shares outstanding at quarter end 148 million, the expected share count for EPS purposes for the third quarter 2015 based on the same average stock price at the second quarter as approximately 152 million shares. For a full explanation of our EPS share count and variables that impact the calculation, please refer to the 8-K we filed this morning. Cash from operations for the quarter is $79 million. Capital expenditures for the quarter were $30 million. Free cash for the quarter was $50 million. For the trailing 12 months cash from operations was $290 million. Capital expenditures were $153 million, split approximately for expansion $68 million, for cost reduction $15 million, for maintenance of business $70 million. Proceeds trailing 12 months from the sales of property and equipment were $3 million. Free cash generation was $140 million. Vishay has consistently generated an excess of $100 million free cash in each of the past nine years. Cash flows from operations were greater than $100 million for the last 20 years and greater than $200 million for the last 13 years. Backlog at the end of quarter two was at $556 million, or 2.8 months of sales. Inventories increased quarter-over-quarter by $11 million, excluding tax rate impacts. Days of inventory outstanding were 88 days. Days of sales outstanding for the quarter were 45 days. Days of payables outstanding for the quarter were 32 days, resulting in a cash conversion cycle of 101 days. We had a total liquidity of $1.5 billion at quarter end. Cash and short-term investments comprised $1.062 billion and unused capacity on the credit facility was $462 million. The breakdown of our debt of $427 million was; $117 million outstanding on our credit facility, $38 million of exchangeable unsecured notes due in 88 years, $219 million of convertible debentures net of unamortized discount issued in three tranches, and due in 26, 27, and 28 years, respectively. The principal amount of face value of the converts is $575 million. No principal payments are due until 2018. Now, I will turn the call over to our Chief Executive Officer, Dr. Gerald Paul.
Gerald Paul: Thank you, Lori, and good morning, everybody. In general, Vishay in the second quarter experienced substantially less friendly economic environment than anticipated. We did not reach the projected growth of the top-line, what was achieved was a repetition of the first quarter which has shown solid results though. Vishay in Q2 achieved gross margin of 24% of sales and adjusted operating margin of 8% of sales, adjusted earnings per share of $0.20 and GAAP earnings per share of $0.17. We continued to expect for the year a generation of substantially over $100 million of free cash. Let me comment on the economic environment. After a reasonably strong first quarter several markets starting at the end of April weakened noticeably, respectively remained below our expectations. Asia did not deliver expected growth, impacted mainly by a significant suffering of the computer business and by unstable macro-economic conditions in China. In Americas, we still see an overall stable economy but a severe weakness in the oil and gas sector. European channel continues to benefit from a weaker Euro in particular exports of industrial products, but there are some concerns for a slowdown in automotive due to drops of exports to China. The inventory turns at distribution remained at a reasonable level of 3.4, some regional details in the Americas we have seen 2.3 after 2.3 in Q1. In Asia, 4.6 turns after 4.4 and in Europe 3.8 turns after 3.9. The POS of distribution dropped slightly quarter-over-quarter by 2%. What we see is some cautiousness across the board. We see a mixed picture for the industrial markets, with strength in Europe in particular for industrial, automotive and safety equipment quite solid in the U.S. except for oil and gas associate. But we do see some slowdown in Asia, whereby niche-size in smaller businesses appears to be less impacted. Automotive remains principally strong overall with some concerns for exporters to China. Very disappointing is the situation computing with notebook and tender shipments down substantially more than expected. We see some unexpected weakness in mobile phones whereby Asian manufacturers are impacted for the most. Fixed telecom remained soft, the consumer markets continue relatively weak except for variables. On the other hand, military and medical remained strong. Now, to the business development of Vishay. Sales in the quarter came in below the range of our guidance, attributable as I said to several markets that develop less favorably than anticipated. We achieved sales of $590 million in the quarter versus $593 million in the prior quarter and $642 million in prior year. Excluding the exchange effects, sales were virtually at the level of the prior quarter but down versus prior year by $22 million or by 3.4% excluding exchange rates and acquisition. The book-to-bill ratio in the second quarter was 0.99 versus 1.05 in the prior quarter. 0.98 for distribution after 1.04 in the first quarter. 1.0 for OEMs after 1.06. 1.01 for active after 1.02 in the first quarter. 0.96 for passives after 1.09. 0.93 for the Americas after 1.07 in the first quarter. 1.01 for Asia after 1.03. 1.01 for Europe after 1.06. We see here a principally solid but less optimistic picture than after the first quarter. The backlog continues at a normal level of 2.8 months equally for actives and passives. The order cancellations remain at a low level. We have experienced a somewhat higher price decline mainly quarter-over-quarter with 1.3% down versus prior quarter and 3% down versus prior year, for actives minus 1.5% versus prior quarter and minus 4.1% versus prior year, and for passives, minus 1.2% versus prior quarter and minus 1.6% versus prior year. I come now to our operations. The gross margin in the second quarter dropped by - our conventional range of between 46% and 48% of sales whereby the exchange rates, mainly the Euro, the soft Euro did not help. The SG&A cost in the quarter decreased to $92 million which includes the realignment of incentives compensation. Manufacturing fixed cost in the quarter decreased slightly to $125 million. The total headcount decreased from 22,685 to 22,602 heads, reflecting somewhat lower production rates. The fixed headcount year-to-date was due to slightly 14 heads or 0.3%. The inventory turns in the second quarter remained at a satisfactory level of 4.1. Excluding the impact of exchange rates, inventories in the second quarter increased by $11 million. Raw materials were down by $2 million whereas goods and finished goods were up by $13 million. Basically this is due to the required build-up of safety socks in the context of the MOSFETs restructuring project. Capital spending in the quarter was $30 million versus $34 million in prior year, $14 million for expansion and $3 million for cost reduction, $13 million for maintenance of business. For the year, we expect capital expenditures of approximately $150 million, a slightly reduced outlook in view of a weaker than expected economy. We generated in the second quarter cash from operations of $79 million versus $69 million in prior year, $219 million on a trailing 12-month basis. We generated free cash in the second quarter of $50 million versus $36 million in prior year, $114 million on a trailing 12 months. As indicated, we expect another good year of free cash generation. Let me come to our product lines. And I start as always with resistors and inductors, Vishay’s traditional and most profitable business continues on a good level. We’re buying particular inductors grow steadily, which is true for our traditional business with power inductors as well as for the acquisition HiRel, which is active in the field of magnetics. With resistors and inductors, we enjoy a very strong position in the industrial, auto, and mil markets. HiRel is very well positioned in the Medical segment. We continue to see opportunities for substantial growth in the Asian predominantly Chinese industrial markets regardless some personal cooling of the economic economies here. Sales in the quarter were $179 million, 3% below prior quarter but above prior year and excluding exchange rate effects. Book-to-bill in the quarter was 0.99 after 1.05 in prior quarter. The backlog increased slightly to 2.8 months. Gross margin in the second quarter for resistors and inductors was at a very satisfactory level of 30% of sales after 31% in the first quarter. The gross margin continues to be negatively impacted by exchange rate effects. Based on price decline for resistors and inductors, we have seen minus 0.6% versus prior quarter and minus 1.5% versus prior year. Inventory turns were quite excellent 4.4, our acquisitions hunting, HiRel and NCP continued to be successful with a sales run rate of $100 million and the gross margin of 26%. And just to reconfirm, the majority of the production moves envisioned for NCP will be finalized in the course of this year. Coming to capacitors, our business with capacitors is based on our broad range of technologies with a strong position in American and European market niches. The capacitor business currently suffers from a decline in the oil and gas sector and from the weakness in computers. Sales in the first quarter were $93 million virtually on the level of prior quarter but 11% below prior year which again excludes exchange rate effects. There is a disappointing book to bill ratio in the quarter of 0.92 after 1.15 in the prior quarter. Backlog for capacitors is at 2.9 months and the gross margin for capacitors declined to 19% of sales from 22% in the first quarter mainly due to a higher than normal ASP decline of 2.2% quarter-over-quarter. Year-over-year we have seen a normal price decline of 1.7%. We remained confident for capacitors in view of our opportunities in Asia and the impact of a weaker Euro will have on European exporters. For the mid-term, we based on Holy Stone’s technology will be able to penetrate the polymer tantalum market. Coming to opto products, Vishay’s business with opto products consists of infrared emitters, receivers, sensors, and couplers, as well as of LEDs for automotive applications. It contains a substantial and growing share of customer designed products. The business with infrared opto products represents one of Vishay’s opportunities for growth, especially in the segments of high performance couplers and of sensors. Our recent acquisition of Capella, a leading design house for chips used in IR sensors will even strengthen our position and our potential for expanding this promising business further by having own competence in the field of chip design, we will be able to respond faster than in the past with technical customer demands. Sales in the quarter of opto products were $73 million, 7% above prior quarter and 7% above prior year, again excluding exchange rate impacts as well as the Capella acquisition versus prior year. Book-to-bill in the second quarter was 1.02 after 10.9 in the prior quarter. Backlog is at 2.9 months. Gross margin improved slightly to a very satisfactory level of 33% of sales, also the inventory turns are quite excellent at 5.7. We have seen higher than normal ASP decline mainly for traditional products and Q2 customer mix, this is seen in particular 2.2% versus prior quarter and 4.8% decline versus prior year. The newly created subdivision sensors increased sales in the quarter to $35 million and to 32% gross margin and I remind you Capella is part of this subdivision. Coming to Diodes. Diodes represent a broad and growing commodity business, where we are the largest supplier worldwide. Vishay offers virtually all technologies, as well as the most complete product portfolio. We, in particular, are leading in power applications. And the business in GS grows profitably. Sales in the quarter were $139 million below expectations mainly due to some hesitation of Asian distribution, 2% above prior quarter, but somewhat by 2% below prior year, which excludes exchange rate effects. Book-to-bill in the quarter was 0.97, after 1.01 in prior quarter. The backlog is at 2.6 months. The gross margin of diodes improved slightly to 23% of sales from 22% in prior quarter. Inventory turns were quite excellent 4.4. Price decline is relatively slow minus 1.1% versus prior quarter and minus 3.4% versus prior year. For the business with diodes, we expect continued organic growth based on our competitive cost structure and our high rate of innovation. Coming to MOSFETs. Vishay continues to be one of the market leaders in MOSFET transistors. The originally predominantly Asian business with customers in computers and phones over years has been expanded quite successfully to automotive and to industrial. The business currently undergoes a major cost reduction program that will enhance its profitability quite dramatically by lowering manufacturing costs. Sales in the quarter were $106 million, virtually on the level of prior quarter but 12% below the prior year excluding exchange rate impacts. And this of course for the most part is due to the present weakness in the computers. The book-to-bill ratio in the quarter was MOSFETs was 1.04 after 0.99 in the first quarter. The backlog remained at 3.1 months. Gross margin for MOSFETs improved to 14% of sales from 13% in prior quarter. The gross margin was supported by some inventory build in the context of the restructuring program. Inventory turns at MOSFETs were at 3.5%, we have seen quite normal price decline there, minus 1.6% versus prior quarter and minus 4.6% versus prior year. Our cost reduction program continues to be on target. We expect full implementation by the end of the first quarter 2016. The program should enable us to reach gross margin levels in the area of 20% of sales. Let me summarize. Also operationally solid, the second quarter for Vishay represented the certain disappointment concerning the sales volume. Softening conditions in several markets we saw did not allow us to reach our sales expectations. Following Vishay’s tradition to constantly work on improving efficiencies but also suspecting a more moderate market growth for some quarters to come, we decided for a new quite broad cost reduction program which will reduce SG&A expenses, naturally without jeopardizing our growth plan and will streamline and rationalize several product lines in passive components. The programs will be fully implemented by the end of 2016 for SG&A, respectively 2017 for manufacturing. And we’ll reduce our SG&A cost by $17 million and the cost of goods sold by $18 million of cost at today’s volumes. We expect restructuring cost of about $30 million. Along with increased efforts in the area of reducing costs, we will follow our growth plan, focusing on new products and technologies on a better penetration of Asian markets as well as on acquisitions either symmetric or strategic. For the third quarter we guide to a sales range between $560 million and $600 million at an exchange rate of 1.1 Dollar to the Euro, slightly below Q2 basically because of some seasonality in the European business. Gross margin is expected to be between 22% and 24% of sales. Thank you.
Peter Henrici: Thank you, Dr. Paul. We will now open the call to questions. Clea, please take the first question.
Operator: Your first question comes from the line of Jim Suva.
Jim Suva: Thank you very much. It’s Jim Suva from Citi. Could you mention briefly about the restructuring, if the restructuring is primarily due to the softer-end demand or more the integration of the acquisitions or what is always planned or just new because of the softness of demand?
Gerald Paul: It was really, as I said, it’s due to the softening of demand as a matter of fact. The integration is unrelated to that. We do have two major areas of restructuring. The first one, unchanged as we announced for MOSFETs and now it is additional and broader restructuring program in Vishay which goes against SG&A and other costs of goods sold cost.
Jim Suva: Okay. And when you think about when you’re done with your restructuring, assuming end-demand remains kind of stable going forward and does that materially improve or dedicate. Would you put your gross margins comparable to what the company is normally operating at or higher or lower or how should we think about accident restructuring roll-out with what we are operating in gross margins?
Gerald Paul: No, as a matter of fact, it’s constant headcount. You’re always exposed to inflation to wage increases every year. So, until all this is impacted of course if volume came back to where it was at the moment immediately if we could take out the cost immediately, it would lead to an improvement of gross margin above trading margin. But by the end of 2017 we have to reduce the impact of inflation on wages and also non-people related costs. So less spend than the impact of the $35 million of course.
Jim Suva: Great. Thank you. Thank you very much.
Operator: Your next question comes from the line of Steve Smigie.
Steve Smigie: Thanks a lot guys. So, just following up on the last question. So, if I were just to take $17 million from SG&A checking for the annual number, you used to buyback by 4, if that’s same this quarter, $94 million of SG&A if I’m billing straight for September. So, let’s just say, when the quarter after this is completed, the quarter year before benefit, would that be essentially $90 million except for what the inflation that you mentioned?
Gerald Paul: Of course, yes, that’s exactly true.
Steve Smigie: Okay, great. Okay. Just on the business outlook you talked about auto being strong but also about some fears about China. I was hoping you could talk about those fears about China. On the one hand I guess we’re seeing certain guys, maybe BMW something like that being light, but at the same time Mercedes being strong. Is this is a share shift or is this just overall just China being weak or maybe longer term?
Gerald Paul: That’s exactly it. If this weakness came - relative weakness came surprising for us, you see. We missed our guidance. So, in the course of the last 8 weeks, not only rumors but also rumors grew that China is weakening. And of course also the automotive part, which historically in the last years was the strongest market we served to is starting to question more than they did before the future in China. The actual numbers do not show that at this point in time yet, but there is a growing concern of the natural car manufacturers to high class car manufacturers that there may be some slowdown. Nobody talks about earlier capacity around the corner but some slowdown. And this is relatively new. But as you say, the general impression about the Chinese economy is less optimistic today I must say than it was a quarter ago.
Steve Smigie: It seemed like - I think the continental numbers were out this morning, I think they were actually pretty decent. So is this, at the same time it’s not related, it did a lot of other folks. So I’m just curious is it, are they just reducing say internal inventories like we’ve heard about the supply chain at this point and that’s causing the miss or?
Gerald Paul: I think automotive, actually if you took personal situation, we’re quite strong. We are talking about the hypothetical weakening which they fear more than they have feared say a quarter ago. We are really, Asia has weakened in this industrial area and the distribution is more cautious. This impacted our numbers in the second quarter. Automotive is more a concern going forward.
Steve Smigie: Okay. And then, same time I think your book-to-bill that you put out for China is above 1 so it seems like it’s slower but not necessarily all that bad. Is that fair?
Gerald Paul: That is fair.
Steve Smigie: Okay. And one last one, it looks like the Opto business is doing quite well I think, excluding, you said I think you adjusted the acquisitions and so forth about 7%. Can you, would you consider doing more acquisitions there or is it just the strength of what you acquired? It just seems like double down on that maybe.
Gerald Paul: As a matter of fact acquisitions are an opportunistic business. We constantly look and we feel that what we have done in the last years to complement certain divisions by specific acquisitions partially synergetic, partially due to new technologies we don’t have, is a successful way. And we are going to continue on this route.
Steve Smigie: Okay, great. All right, thank you.
Operator: Your next question comes from the line of Matt Sheerin.
Matt Sheerin: Yes. Thanks. Good morning everyone. Just a couple of questions. Regarding the comments on the weakness in North America, the book-to-bill 0.93, I know Dr. Paul you talked about oil and gas weakness and distribution weakness. How much exposure do you have to oil and gas? And are you getting a sense that that’s bottoming out or could that get worse?
Gerald Paul: I had to guesstimate. But for us the weakness in distribution was more severe than what we have seen in the oil and gas sector, this is a very temporary effect. It was a decision of some distributors to lower obviously to come up to higher inventory turns which we have to respect. But we are talking about - in a certain form these distributors can channel into your supply to this sector oil and gas. So we just connected. Under distribution side of this, just temporary on the oil and gas. Here this is an entity to be seen at the moment of what is replaced.
Matt Sheerin: Okay and it sounds like your sell into distribution was weaker than sell out, although you said point of sale was also weak. Are you getting a sense of distribution and maybe other customer inventories will be fairly low or lean leading into Q4 or perhaps Q1 of next year and we might get, maybe this is a little getting ahead of myself, but in terms of obviously these mini cycles where you have people over-correct on the downside where you could get better than seasonal quarter as people come and refresh. Are you getting any sense that that could play out?
Gerald Paul: I think this relative cautiousness of distribution will apply to change earlier this year than before. And I would agree with you that they help us not to have the same effect which we had two years in 2014 and 2013. So, part of this normalization may I say may take place now already. And in that sense I would agree with what you said.
Matt Sheerin: And the guidance does that factor in continued ASP pressures? It looked like the price erosion you saw in passives particularly capacitors was as weak as I can remember. Are you factoring in continued pricing pressure?
Gerald Paul: We will not see as major change there at the moment. The second quarter was relatively high end as PD side, so I would suspect this maybe better in the next quarter. But principally speaking there is price pressure around.
Matt Sheerin: Okay. And then could you remind us how much of your cash is offshore versus here and any, given where the stock is, any plans for doing another buyback or increasing the dividend? Or is that constrain because of the fact that most of your cash is offshore?
Gerald Paul: That’s what we normally do, things that’s what should be decided by the board I would say. But principally speaking, we hit the nail on the top. We are indicating certain form such positions because our cash is offshore. At the moment there are no plans in inventory share, the dividend as a matter of fact, stock buybacks are always possible and we would find ways if we decided so to finance them, there is no question like we did in the past. But there are no concrete plans at this point in time.
Matt Sheerin: Got you. Okay. Thanks a lot.
Operator: Your next question comes from the line of Harlan Sur.
Harlan Sur: Hi, good morning. Thank you for taking my question. Backlog entering Q3 is pretty similar to Q2, but your revenue outlook is about $10 million lower here in the third quarter. So is the team just assuming, being a bit more conservative and assuming less turns business here in the third quarter?
Gerald Paul: It’s somewhere in Europe may I say, it’s somewhere in Europe. And especially passive entity, the European business does have this weakness in summer. It’s a modest reduction vis-à-vis the second quarter but we felt that especially Southern Europe is always will be somewhat softer in the third quarter. This is the real reason. We do not want to indicate a further softening of the environment. It’s more the expression of the fact that we go into summer.
Harlan Sur: Got it. Thank you for that, Dr. Paul. And then second quarter I would assume is usually pretty linear in terms of order trends. Can you just talk about the order linearity in Q2? And then can you just give us a sense for kind of current booking trends or book-to-bill here thus far in the third quarter?
Gerald Paul: I was sitting here three months ago and was really convinced that quarter two is going to be whatever we guided to, that means substantially stronger than in the first quarter. So, it’s absolutely true that shortly after that or around the kind we were talking that was starting a decline of orders. And out of this weakness as I said came from Asia in particular and from other places but Asia in particular which was not considered. So it’s really true what you say. That continuity of the order intake was not given in the second quarter. We had deterioration after April which was substantial. Now we are running at around book-to-bill of - slightly over 1 at the moment.
Harlan Sur: Okay thank you for that. And here’s my last question on the global cost reduction program, I think you said in answer to a prior question SG&A probably around kind of $90 million range in Q1, right, post SG&A restructuring. Now this is going to be on top of the $5.75 million per quarter in savings from the MOSFET manufacturing initiative which, yes.
Gerald Paul: Absolutely, all these programs are totally additive as a matter of fact. So whatever we are going for and we announced it in some time, in MOSFETs, it’s clearly sacred and traditional to the new program what we announced now which goes against SG&A. But also against other parts of manufacturing not the MOSFETs right. MOSFET is already ongoing the restructuring program, its additive.
Harlan Sur: Okay, great. Thank you.
Operator: Your next question comes from the line of Shawn Harrison.
Shawn Harrison: Hi, good afternoon, everybody. Couple of follow ups to Matt’s previous questions, was the sell through of distribution was down 2%, how much was selling down then?
Gerald Paul: Selling down, POS is down 2% quarter-over-quarter, POS is down 2%?
Shawn Harrison: What was the POA I guess?
Gerald Paul: Okay, POA let me see. It’s inventory this is what you really want to know right, inventory went still up slightly or until that’s slightly by I would say 2% approximately.
Shawn Harrison: And then, it sounds from your previous comments, Dr. Paul, that you don’t expect much further inventory reduction in the September quarter based upon where the book to bill is right now?
Gerald Paul: I think we, there should be no further programs in Asia for instance. It’s certain the distribution, that could be that there will be further reductions of inventory but not dramatic.
Shawn Harrison: And then I, the two of these seem interrelated, but within capacitors what exactly is driving the pricing pressures, is it increased competition, is there market weakness and do margins bounce back into the September quarter even if pricing remains weak?
Gerald Paul: We have seen weakness of price reduction for the most part in Tantalum capacitors by nature. This is the place where we say it’s really in the main commodity fields still. Normally we are more and complain in the special pieces, in resistors, inductors but especially also in capacitors. This really brought down the price. But this is an opportunistic pricing, you can have it both ways. This time we were suffering from lower prices, we can definitely beat it in the next quarter, it can normalize in the price decline. This goes up and down.
Shawn Harrison: Okay, and then lastly maybe if you could help me out with the MOSFET business in terms of the key end market exposure. Historically I thought of it mainly being PCs and tablets and the other majority being smart phones and cell phones maybe both in pricing 40% of the business. Is that a right range, or is it shifted considerably?
Gerald Paul: I didn’t catch that, how much did you, it’s quite motive, became a nice part of it.
Shawn Harrison: I thought each were maybe one-third to 40% of the business being?
Gerald Paul: Not quite, automotive, it’s somewhat less than what you assume for automotive. So we are still more than you thought in the computer business and in the telephone business. But automotive grows since years.
Shawn Harrison: Okay. Automotive is a quarter of that business or something? Is it that?
Gerald Paul: Approximately.
Shawn Harrison: Okay. Very helpful. Thank you very much, Dr. Paul.
Gerald Paul: Thank you.
Operator: Your next question comes from the line of Ruplu.
Ruplu Battacharya: This is Ruplu from Bank of America.
Gerald Paul: Hi Ruplu.
Ruplu Battacharya: Dr. Paul, hi how are you? Just to start, and just another question on inventory and distribution. When you look at this current level of inventory versus a year ago would you say that inventory is more now? I thought in the press release I thought I read that you’re anticipating an inventory reduction in distribution. Maybe if you could just talk about if there was an inventory build where was it, which product line, and do you expect that this fee would remain cautious or would that actually reduce more inventory?
Gerald Paul: That was great read, which I have in front of me. If I compare to a year ago, the inventory went down by approximately 3%. But we have to take into account the Euro, the weakness of the Euro which impact, which I would have to calculate now that. Listen, let me go through various inventories, so we would have in the Americas, we would have the same inventory level so there may be some room for further reductions. In Asia, we have approximately let’s see, slightly, very tiny more, a little more than so there is, so maybe in some room for production. And European Euro, is in Europe itself, have to compare because of the exchange rate changes. Europe is down substantially say by approximately 15%. But this can be effective for the devaluation of the Euros, so I would suspect Euro is quite stable if you took constant currencies, constant exchange rates.
Ruplu Battacharya: That’s helpful. And would you say that there is, is there more inventories, in any one product line or is it just equal across the board?
Gerald Paul: I would say that changes. First of all I’m not so dramatic and that’s not so dramatic. But I would not highlight any of these lines, no, we would not highlight any.
Ruplu Battacharya: Okay. And then just on the commentary in response to one of the questions you said that you’re not expecting any further, you’re not guiding to any further weakness per se in the macro. It’s basically it’s more it’s been weak and you’re stable. But in the prepared remarks you also talked about moderate growth expectations for some quarters to come. And you’re also asking for another voluntary retirement program. I just wanted to clarify overall in the macro what you’re seeing. Is there any incremental weakness in auto and industrial which are your two main markets? Are they incrementally worse going into the second half than what you would have expected? Or versus the second quarter are they you think they’ll be weaker or what’s your expectations?
Gerald Paul: At least our major customers and you know them. One of them was highlighted in our discussion are still quite optimistic. It’s a general concern vis-à-vis China which you hear more and more in my country but this is obviously also typical candidate for this country. Germany in this case for a mid-term cooling, you would not see this placement numbers they’re not in the second quarter.
Ruplu Bhattacharya: Okay, okay, got it. And then…
Gerald Paul: In the second half, it’s used in the second half.
Ruplu Bhattacharya: And then. Just on acquisitions, can you remind us like what size of acquisitions would you target in terms of either purchase size of multiple of EBITDA, like what are you looking for?
Gerald Paul: As we said, it’s an opportunistic business. So, it will limit our chances completely if I was too tight on that. But we are not pursuing at this point in time, a big acquisition, which is a major share for our sales. So, I would say, the typical acquisitions made, with sales of up to $100 million the most likely candidates also going forward.
Ruplu Bhattacharya: Okay. And the last one from me, in terms of the pricing environment just to clarify, are you seeing, is the pricing environment as of today better than what you saw in 2Q or is it pretty much the same, as the same?
Gerald Paul: Ruplu I could not nail it down to such short times. I would not see a major change now. It could be, we will find after the third quarter that the price declined, which was quite substantial in the second quarter. It will not repeat itself to the full extent, this can be regulatory. It was a relatively half price decline but it’s come to its customer mix, yes, really of this customer mix. So as a matter of fact, I couldn’t tell you what the price decline this week is, I cannot say that.
Ruplu Bhattacharya: Okay. No, I appreciate the details. Thank you.
Operator: And there are no further audio questions.
Gerald Paul: Clea?
Operator: There are no further audio questions.
Gerald Paul: Then, we thank you for your interest in Vishay. And we terminate our second quarter conference call.
Operator: Thank you ladies and gentlemen, that does conclude today’s conference call. You may now disconnect.